Operator: Ladies and gentlemen, thank you for standing by and welcome to the Vital Farms Fourth Quarter 2020 Earnings Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Mr. Matt Siler, Vice President of Investor Relations. Please go ahead, sir.
Matt Siler: Thank you. Good morning and welcome to Vital Farms fourth quarter and fiscal year 2020 earnings conference call and webcast. I'm pleased to be speaking with you today on my first earnings call onboard as Vice President of Investor Relations at Vital Farms. On today's call are Russell Diez-Canseco, President and Chief Executive Officer; and Bo Meissner, Chief Financial Officer, who is also speaking on his first earnings call as CFO this morning. By now, everyone should have access to the company's fourth quarter and fiscal year 2020 earnings press release filed this morning. This is available on the Investor Relations section of Vital Farms' Web site at investors.vitalfarms.com.  During the course of this call, management may make forward-looking statements within the meaning of the federal securities laws. These statements are based on management's current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in those forward-looking statements. Please refer to today's press release and the company's annual report on Form 10-K for the fiscal year ended December 27, 2020, each filed with the SEC earlier today, and other filings with the SEC for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today.  Please note that on today's call, management will refer to adjusted EBITDA, which is a non-GAAP financial measure. While the company believes this non-GAAP financial measure provides useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Please refer to our earnings release for a reconciliation of adjusted EBITDA to its most comparable measure prepared in accordance with GAAP.  I'd also like to note that we are conducting our call today from our respective remote locations. As such, there may be brief delays, crosstalk or other minor technical issues during this call. We thank you in advance for your patience and understanding. And now I’d like to turn the call over to Russell Diez-Canseco, President and Chief Executive Officer of Vital Farms.
Russell Diez-Canseco: Thanks, Matt. Good morning, everyone, and thank you for joining today. I'd like to welcome Bo and Matt to their first earnings call at Vital Farms. As many of you know, Bo joined us last July and officially transitioned to Chief Financial Officer on December 28, 2020. Matt joined us earlier this month and will be leading our communications with the investment community.  On today's call, I will briefly review our fourth quarter and full fiscal year 2020 financial highlights and provide an update on each pillar of our growth strategy. Bo will then review our 2020 financials in more detail and provide our outlook for 2021. We then look forward to answering your questions.  We reported record performance in 2020, our first year as a public company. Net revenue for the full fiscal year increased 52% to $214.3 million. In the fourth quarter, net revenue was $54 million, a 30% increase compared to the fourth quarter of fiscal year 2019.  Vital Farms is the leading pasture-raised egg brand, with over 80% dollar share of the U.S. pasture-raised egg market, the second largest egg brand based on retail dollar sales and the largest contributor to category growth by retail dollar sales in 2020, contributing almost half of total egg category growth.  Our products are sold in over 16,000 stores, and in 2020 5 million households purchased our high quality ethically produced eggs. Our continued track record of growth prior to and throughout 2020 is reflective of the mission and values to distinguish Vital Farms within our category and help us cultivate longstanding trust and loyalty amongst our consumers.  We operate the business through the lens of conscious capitalism, maintaining a belief that a business can only be sustainable over time if it's sustainable for all stakeholders. Since the day we were founded, we have prioritized our stakeholders; farmers, suppliers, employees whom we call crew members, customers, consumers, communities, the environment and stockholders, and treated them as true co-creators of the business.  Our model guides us far beyond producing pasture-raised foods and challenges us to consider how we can improve the lives of people, animals and the planet and everything we do. Our designations as a Certified B Corporation and Public Benefit Corporation are natural extensions of the purpose-driven business we built from the beginning.  In January 2021, we published our first stakeholder summary, a review of how we serve our stakeholders throughout 2020. I'd like to share a few highlights that felt especially meaningful and reflective of the trusted ethical food brand we're building. Specifically as we've expanded our farmer network to over 200 farms, nearly 2.5 million hens enjoy meaningfully better life than the confinement they would face in the industrialized food system.  Over 6,000 acres of land are able to rejuvenate naturally without herbicides or pesticides. In 2020, we donated 15 million eggs to food banks across the country, saved 25,000 trees by transitioning our egg cartons to a carbon neutral lid and donated to 43 nonprofits that advocate for causes including animal welfare, environmental conservation, children's health, and addressing systemic racism. Now I will provide an update on each pillar of our growth strategy. First, increasing household penetration; second, expanding retail distribution; third, growing our food service footprint; and fourth, innovating new ethical food products within existing and new categories.  Starting with household penetration. We ended 2020 with 3.9% household penetration for Vital Farms eggs, which represents 5 million households that purchased our shell eggs, a 50% increase over the prior year. New purchasers, defined as households who purchased Vital Farms in 2020 and not in 2019, increased 55% and retained households, defined as households that purchased Vital Farms in 2020 and 2019, increased 38% versus the prior year.  We retained 50% of the households that purchased our eggs in the initial eight weeks stock up period between March and April 2020 with 61% of those consumers making two or more repeat purchases. We believe our strong household penetration and conversion is driven by the strength of our brand, our trusted high quality products, and a secular shift toward consumers being more conscious of their food choices and wanting to feel more confident in where their food is from and how it’s produced.  We plan to invest in attracting additional new households as well as continually engaging loyal consumers through strategic marketing that educates consumers about our brand, values and the premium quality of our pasture-raised products.  In January, we launched our newest brand campaign titled Where Honest Food is Raised. This new campaign, the first that features all of our products, stars a crew member from our farmer support team and humorous storytellers who highlight the attributes that define our egg, butter and Egg Bites products. Humanely treated hens and cows that have the freedom to roam outdoors on pasture year round, raised by family farmers.  The campaign includes digital videos that appear across a wide variety of digital, social, and streaming television platforms. This is just one example of how we're continuously investing to build our brand. From increasing awareness by educating consumers on our values to driving loyalty with multiple product and digital touch points like the monthly Vital Farms newsletter that comes in each carton, or our thoughtful and personal interactions with consumers on social media.  Now to expanding our retail footprint. As of December 2020, our products are sold in more than 16,000 stores, a 12% increase from the prior year. Following a significant increase in store count that we saw in the third quarter, our fourth quarter count remained relatively flat, as most retailers do not perform shelf resets during this time of year. We continue to see faster growth in the mainstream versus the natural channel.  For the full year 2020, natural channel retailers represented 46% of retail dollar sales compared to 49% in 2019. Mainstream channel retailers represented 54% of retail dollar sales compared to 49% in 2019. Additionally, we have significantly expanded the number of placements in each channel with 46% two-year CAGR in mainstream and 27% two-year CAGR in natural.  We believe mainstream channel sales representing a slightly higher percentage of our overall consumption dollars demonstrates the growing consumer demand and preference for high quality ethically produced foods. We also believe there are several opportunities for growth ahead of us, including incremental growth and distribution across existing channels building on current momentum and expanding the new channels.  We're also seeing increased demand for free range and pasture-raised eggs, which we refer to as outdoor access eggs across the entire category. In 2020, demand for outdoor access eggs in the mainstream channel increased 33% versus one year ago, representing a 10% share of total eggs sold.  In the natural channel, demand for outdoor access eggs increased 20% representing 59% of total eggs sold. Across both channels, our dollar share of the outdoor access segment increased to 27% as of December 2020, and we contributed 55% of the growth in the outdoor access segment versus one year ago. From 2019 to 2020, our share of the outdoor access egg segment increased 480 basis points. The growing demand for outdoor access eggs across both channels combined with our strong growth within the outdoor access category speaks to our potential to further penetrate both channels. We see significant opportunity in the mainstream channel. The 10% share for outdoor access egg is relatively small, though steadily growing, and we believe our branded products will enable us to expand distribution with an existing and new mainstream customers.  Additionally, recognizing the accelerated demand in online grocery, we invested in marketing initiatives with existing customers, including Target and Kroger, as well as third party delivery companies such as Amazon Fresh, where we have the second ranked egg brand by retail dollar sales.  We expect online grocery to remain an attractive, convenient option even after widespread vaccinations against COVID-19, and we will continue to invest, test and expand our e-commerce capabilities to meet consumers where and how they prefer to shop. As we expanded our retail distribution throughout the year, our total brand velocity has remained strong outpacing our top five competitors in both channels.  Finally, we fulfilled the heightened demand across all channels without any significant disruption to our supply chain. And we continue to invest in our future growth. We're on track with our facility expansion which will nearly double our current square footage and increase our capacity to manage increased distribution. We expect to complete this facility expansion by mid 2022.  On to increasing food service distribution. We maintain this segment of the business with flat performance in 2020, given the unfortunate and understandable headwinds the restaurant sector faced as a result of the pandemic and significantly reduced diner traffic. We launched two regional concepts in 2020 with Cafe Patachou, a breakfast and lunch restaurant with five locations in the Indianapolis area and King David Tacos, a brand that specializes in Austin-style breakfast tacos based in Brooklyn with additional points of distribution across New York City.  We see significant opportunity for medium to long-term growth across the food service channel. In January, we launched a new partnership with Acosta Foodservice, a U.S. food service sales and marketing agency that specializes in the consumer packaged goods industry. Acosta is our first national sales and marketing agency for food service and will focus on increasing broad line distribution and expanding into more national and regional restaurant chains.  We invested in this partnership because we believe we’ll substantially expand our food service footprint by partnering with values-driven operators who source our high quality products and believe our brand will resonate with their diners. Our brand has a differentiated value proposition and we believe the same trends that attract consumers to our pasture-raised products at the grocery shelf will influence diners eating outside of their home if they continue to seek food selections they can trust.  Now an update on innovation where we're investing to expand our product offerings in new and existing categories. The success we've seen with our core products confirms our belief that a growing number of consumers are interested in more pasture-raised and ethically produced foods from Vital Farms.  As we look beyond our existing categories, we continue to research and test offerings that adhere to the ethical standards consumers know and trust from us. This includes convenience snacking products, building off the Egg Bites launch in August 2020, where we have steadily increased distribution to 1,310 retail stores, and as of December 2020 are the leading Egg Bite brand in the natural channel. We plan to launch our next product innovation later this year.  Finally, a word on what we're seeing at this point in 2021. In the first couple of months of 2021, we're seeing consumption patterns consistent with or in some cases outpacing those we observed in the fourth quarter of 2020. Now before I turn the call over to Bo, I want to be very clear in our belief that Vital Farms is uniquely positioned to address a substantial market opportunity. I also want to address any questions about our ability to sustain the growth we saw in 2020 in the post pandemic Europe.  First, we demonstrated significant growth in net revenue, retail distribution and household penetration prior to the pandemic. We believe this growth was largely driven by the growing number of consumers seeking ethically produced foods as well as the trust, honesty and transparency that's inherent in our brand.  Second, like many food companies, we did see an acceleration of growth due to stay at home trends in 2020. But I want to emphasize the number of households who stayed with us throughout 2020 when presumably, they had more options at the shelf once the initial pantry stocking period ended in April.  Both prior to the beginning of the pandemic and throughout 2020, we have demonstrated that our high quality products and trusted brand inspire loyalty. We attracted households in a shorter period of time than we expected as a result of the pandemic, and we believe that we’ll retain these households and continue to attract new consumers to our brand in the months and years to come.  Third, we're investing millions in our future across every pillar of our growth strategy. This includes growing our network of foreign partners, which is now over 200 farms, doubling our capacity at Egg Central Station, our world class egg washing and packing facility, launching a national food service partnership with Acosta and attracting talented and experienced crew members and board members to expand the breadth and depth of our competencies. I am confident that Vital Farms is well positioned for continued growth and success in 2021 and beyond.  I'll now turn the call over to Bo.
Bo Meissner: Thank you, Russell. Hi, everyone, and thank you for joining us today. It's an honor to be here on my first earnings call and to follow Jason in this position. I look forward to helping Vital Farms carry out its mission to deliver ethically produced food to millions of households across the country. As Russell mentioned, I will review our financial results for the fourth quarter and the full year ended December 27, 2020 and provide our outlook for 2021.  First, I'd like to touch on fourth quarter financial results. As Russell mentioned, we achieved net revenues of $54 million, an increase of 30% compared to the fourth quarter of 2019, which was driven by an increase in egg and butter sales, due to high turnover rate of sales to our retail customers, a new distribution of both new and existing customers. We believe the impact of COVID-19 pandemic resulting in fewer or smaller holiday gatherings was offset by the increased consumption due to continued stay at home trends. Gross profit for the fourth quarter was 17.6 million or 33% of net revenue compared to 9.8 million or 24% of net revenue for the fourth quarter of 2019. The $7.8 million increase in gross profit was primarily due to the increase in net revenue, with the majority of the 905 basis point expansion attributable to better egg utilization, lower material costs for eggs and butter and volume leverage over our direct labor and overhead costs. Adjusted EBITDA loss for the fourth quarter was $0.1 million compared to a loss of $4.7 million for the fourth quarter of 2019.  Now turning to our full year results. For fiscal year 2020, net revenue was $214.3 million, up 52% compared to $140.7 million in net revenue in 2019. Growth in net revenue for 2020 was primarily driven by an increase in egg and butter sales due to a high turnover rate of sales to our retail customers and new distribution at both new and existing customers, some of which resulted from stay at home trends associated with COVID-19.  Gross profit was $74.5 million or 35% of net revenue for fiscal year 2020 compared to $42.9 million or 30% of net revenue for fiscal year 2019. The $31.7 million increase in gross profit was primarily due to the increase in net revenue with a portion of the 431 basis point expansion in gross margin attributable to the lower material costs for eggs and butter and volume leverage over our direct labor and overhead costs.  Total operating expenses were 62.3 million or 29% of net revenue compared to 39.5 million or 28% of net revenue last year. This includes SG&A expenses of 47.4 million, a $17.9 million increase compared to 2019, and shipping and distribution expenses of 14.9 million, which increased 4.9 million year-over-year.  The increase in SG&A was driven by higher employee-related costs due to larger overall headcount to support our operations, and more professional fees and commercial insurance costs, due in part to our status as a newly public company. The higher level of spending on shipping and distribution expenses was due to stronger sales volume, which resulted in increased costs related to third party freight associated with distribution of our products.  Total income from operations was $12.2 million this year compared to $3.3 million a year ago, driven by the aforementioned factors. Net income with 8.8 million or $0.27 per diluted share compared to 3.3 million or $0.07 per diluted share in 2019.  Our adjusted EBITDA was 16.8 million for fiscal year 2020 compared to 6.4 million for fiscal year 2019, which represents 162% increase. The improvement in adjusted EBITDA was primarily due to volume increases to our distributors and expanded gross margin as well as leverage over fixed operating costs. The increase was partially offset by higher SG&A expenses due to the larger headcount to support our operations and the increase in professional fees and commercial insurance costs due in part to our status as a newly public company.  Now shifting to our capital structure. As of December 27, 2020, we had total balance sheet cash and investable securities of 97.9 million. We also paid off all of our current and long-term debt outstanding within the year. Looking ahead to 2021, we expect net revenues in the range of 246 million to 253 million, representing growth of 15% to 18% over 2020, which was aided by COVID driven demand that added roughly 20% to the top line growth last year.  Additionally, we expect the second half of the year will produce stronger net revenue growth rates than the first half as retailers return to a more normal or pre-pandemic cadence and distribution resets this year.  Turning to our forecast for adjusted EBITDA, we see a range of $6 million to $8 million in fiscal year 2021. We expect the lower year-over-year level of adjusted EBITDA will be driven by increased commodity costs and higher distribution expenses, increased marketing spend as we proactively expand the retail footprint of the business, and finally increased SG&A as we enter a full year as a public company.  Thanks for your time and interest in Vital Farms. Before we take your questions, I want to reinforce our confidence in the year ahead. We have a strong brand portfolio of high quality products that millions of households across the country trust for ethically produced food. We believe this foundation, combined with the acceleration of growth we have seen prior to and throughout 2020, leave us well positioned for a successful 2021 and beyond.  With that, I'll turn the call back over to Russell.
Russell Diez-Canseco: Thanks, Bo, and thanks to everyone who's on the call today. We really appreciate your interest in the Vital Farms mission, in our products and our growth story. 2020 was a record year and we're really excited about what 2021 has in store.
Operator: [Operator Instructions]. Our first question comes from Rob Dickerson with Jefferies. Your line is open.
Rob Dickerson: Great. Thank you so much. Just a couple of quick questions for me. The first question just around the top line, I think you had said the expectation would be for more normal rates of growth, potentially in the back half of the year but also sounds like maybe consumptions coming in a little bit better in Q1 than you may have expected, and we can see some of that through the data. So I'm just curious, just given all the moving parts to just the top line, inclusive of new business wins lapping the pandemic, what have you. As we think through the year, could you maybe just give a little bit more color as to kind of how you would think through that cadence on the top line in broad terms? Like maybe Q1’s a little bit better and then there's a lap that comes down, and then maybe you kind of normalize out to kind of a more normal rate of growth in the back half, that would be helpful. And I just have a quick follow up.
Russell Diez-Canseco: Yes, thanks for being with us, Rob, and I appreciate the question. So yes, I think the general kind of summary that you offered is fair, which is we attracted a lot of new households in 2020 and have retained a big chunk of them, which we described in the earlier part of the call. In terms of how the year plays out, as you know, we aren't offering quarterly guidance but what I will say is that certainly on the distribution side, we're seeing retailers return to a more normal cadence of kind of reset windows and conversations. And the ones we've had so far that will affect the back half of the year are happening with a pretty good success rate, similar to what we might have expected in a normal year. And so that has returned to normal we think and that will give us upside opportunity in the back half of the year. In terms of marketing, as we described, we're making substantial investments in attracting new households and retaining them, and that will continue in 2021. And so we feel great about our ability to continue to drive growth in both ways, both with new distribution and with attracting new households.
Bo Meissner: Rob, the only thing I would add – I would add to that, Rob, is just that in the supplemental deck, we sort of put in our best estimate of what we thought the lift was from COVID by quarter and 2020. If you back that out and look at the growth we're anticipating in 2021, ex the COVID lift in the pantry load periods, we're anticipating slightly above 30% growth, which is what we've seen for the last couple of years. But in the first half, we're anticipating that that growth will be less than 30% in the back half, greater than 30%. Now as we added on supply last year, it wasn't really until post the load periods in Q2 that we really started to add supply, because we're coming from a period of oversupply. So the farms that we have coming on board are really coming on in the back half of the year, which is why we're also seeing slightly higher growth along with the retailers going to regular cadence of new distribution.
Rob Dickerson: Got it. That's extremely helpful. And then just one quick question on the cost structure, more focused on the commodity side. I know you share some of the costs on the feed side. I just ask because I get a lot of questions around this. It seems like there is some incremental cost inflation pressure, not just for you, but for a lot of companies right now. So maybe if you could just kind of help us understand a little better how some of that feed cost, inflation pressure kind of flowed through for you specifically, because, again, it doesn't sound like it may be as bad as some might think, that'd be helpful? That's all I have. Thank you.
Russell Diez-Canseco: Thanks, Rob. I'll take the first stab at that. And then if Bo wants to chime in on things I've missed, that'd be great too. So you're right. The way that our contracts are structured with our farmers, we made the choice years ago to take the burden of input cost pressure off of the farmer. And what that means is that each quarter, we adjust the price we pay our farmers for their eggs based on the actual feed input costs they experienced in that prior quarter. So with some delay, we do see changes in the price we pay the farmer for the egg that are meant to make their profit potential neutral to the impact of changes in commodity costs. I think the reason to believe that we're more insulated than some other protein producers is simply based on our cost structure. So if you think about our cost and gross margin structure, feed costs are just a smaller portion of our cost of goods I think than producers of lower priced or more commodity type eggs and other proteins. Bo, do you have anything to add to that?
Bo Meissner: Yes. And Rob, I think as Russell described as a percent of sales, certainly that's the case for us. But one of the metrics that we provided in the S1 and updated in the K just based on our volume trend is what a 10% change in hybrid weighted of our commodity costs would impact our P&L? And based on the volumes for 2020, we estimate that a 10% change in commodity costs would result in about a $3.4 million change in our P&L. Now a portion of that's for butter costs, but you can think of the lion's share of that being the feed costs that Russell had talked about. So I think if you just look at what the market has done year-over-year in terms of an increase, you can help model -- you can model that out based on the change factor that I just quoted, realizing that there's a one quarter lag between when we true up the farmers and when the commodity prices change. So what that really means that in Q2, we're really going to see, I think assuming commodity prices level off, the largest increase versus year ago.
Rob Dickerson: Yes, that's great. Really appreciate the transparency, very helpful. Thank you everyone.
Russell Diez-Canseco: Thanks, Rob.
Operator: Thank you. Our next question comes from Adam Samuelson with Goldman Sachs. Your line is open.
Adam Samuelson: Yes. Thanks. Good morning, everyone.
Russell Diez-Canseco: Hi, Adam.
Bo Meissner: Good morning.
Adam Samuelson: Hi. So, Russell or Bo, maybe just continuing on that exact point on the commodity just to be clear. If I take that commodity sensitivity that you just discussed and look at kind of where main feed ingredients have moved, I would -- and think about some growth in your volumes kind of consistent with your revenue growth, I would think about kind of $8 million or so or 300 to 350 basis point gross margin headwind from feed ingredients in 2021 on a year-on-year basis, and just want to make sure is that fair or conversely what is actually embedded in the 6 million to 8 million EBITDA guidance that you provided?
Russell Diez-Canseco: Bo, you want to take that one?
Bo Meissner: Yes. Thanks for the question, Adam. I think the only thing that in your quick cal [ph] that you just did that you probably have included is that there's a portion of that 3.4 million for a 10% shift that is butter. And if you think of butter, it's a higher percentage of the ingredient cost for the butter sales that we have. So I think it would be a little bit south of what you quoted, just you have to back off the 3.4 to back out the impact of butter. But you're certainly in the range.
Adam Samuelson: Okay, that's helpful. And then maybe just, again, more -- continuing on that point on guidance and just help us think about kind of -- you've had a step up in SG&A in the second half and should we look at 4Q as maybe more reflective of the run rate as we move into '21?
Russell Diez-Canseco: Bo, can you take that also?
Bo Meissner: Yes, I think that that's a good basis to start with. A couple of things to remember is that in Q4, we did have our secondary offering. So there's some costs associated with the secondary offering that won't be replicated in 2021 in the quarters. And we're still planning to invest behind the business with additional headcount to support the growth that we're seeing. So I think if you use Q4 as the base and then assume that it's going to grow over time as we still increase our headcount, I think that's a good assumption.
Adam Samuelson: Okay. And then just finally on innovation, it was something that Russell you mentioned briefly in your prepared remarks. And you talked about kind of next innovation later in the year. And I guess I'm just trying to think about, a, not really a meaningful incremental revenue contributor in '21 if it's the best stuff that hasn't been introduced yet but, b, just trying to think about the trajectory into '22 and '23. At a high level, are we thinking about more kind of line adjacencies like Egg Bites or are we thinking that no, this is Vital Farms and kind of entirely new -- larger kind of categories that that could have a bigger step change contribution to the revenue forecast?
Russell Diez-Canseco: Yes, I appreciate that, Adam. I think we've been pretty consistent in our messaging that you don't have to believe in kind of a big blue sky new category entry to believe in the Vital Farms growth story. At the same time any new product we introduce will need a bunch of really stringent criteria for us across both consistency with our mission and brand, all the way to something that we know we can execute really well. And so I think in the near to midterm, what you can expect from us, our continued focus in the value added dairy space and continuing to focus on the farmers and supply chain we know well. So, we will continue to incorporate I think very realistic expectations for the results from our innovation in our forecast. But I wouldn't categorize it as a totally new space for us.
Adam Samuelson: Okay, I really appreciate that color. I'll pass it on. Thank you.
Russell Diez-Canseco: Thanks.
Operator: Thank you. Our next question comes from Matthew Smith with Stifel. Your line is open. Matthew, please check your mute button.
Matthew Smith: Hi. Good morning. Sorry about that. The new customer gains in household penetration progress in 2020 was well ahead of our expectations. It was aided in part by the pandemic and the surge at home consumption. But can you discuss your priorities for investments in 2021 as you look to continue the progress in household penetration and retain the new buyers? Should we expect increases in both marketing and promotional activity?
Russell Diez-Canseco: Yes. Good morning, Matthew, and thanks for that. So I think we mentioned in the earlier part of the call that on a kind of percent of revenue basis relative to 2020, you'll see expanded investments on both sides, both marketing and trade. And those reflect as much a return to normal as they do a substantial change in the level of investment that we place in those two areas. So it looks a little bit more like a return to pre-pandemic levels, I would say. But yes, we're -- there's a tremendous amount of growth potential ahead of us and it relies on us attracting new consumers to our marketing efforts, including the new ad campaign that we launched this year, and retaining them with both marketing efforts and an appropriate cadence of trade spend to keep us top of mind when they shop. So you'll see continued investment in both this year.
Matthew Smith: Great, thank you. And then as a follow up, can you discuss your expectations for new customer wins in 2021 versus building out distribution at existing accounts, whether that's more doors or additional products and existing doors?
Russell Diez-Canseco: Yes, I appreciate that. I definitely -- we're in so many of the major retailers that can really move the needle in terms of new chains that we might get into. However, as we've said on past calls, we're not necessarily in every door in those chains and we certainly have room to expand our portfolio in many of those doors. So if I were to rank kind of the upside opportunities, first and foremost, it's continuing to build on our high trust relationships with our retail partners to grow our presence on their shelves and expand our portfolio on their shelves. In addition, as our products perform well in the doors that we already have, that often leads to our ability to get more doors. Finally, it's the conversations with chains that we have no relationship with today. But again, there aren't too many of those left.
Matthew Smith: Okay. Thank you, Russell. I'll leave it there and pass it on.
Russell Diez-Canseco: Thanks so much.
Bo Meissner: Thanks.
Operator: Thank you. Our next question comes from Ken Zaslow with BMO. Your line is open.
Ken Zaslow: Hi. Good morning, everyone.
Russell Diez-Canseco: Good morning.
Bo Meissner: Good morning.
Ken Zaslow: Just following up on the commodity. When we think about the commodity cost and you think about your pricing structure, do you think that you -- how do you balance the idea of potentially taking pricing versus penetration or is it that you will allow the higher input costs to kind of do what it's got to do and eventually it will come back down and you're looking for greater penetration? Can you talk about the balancing between the two of that? And just as a follow up to that, as you negotiate your contracts, are there any changes to that that would change the sensitivity in commodities? And I'll leave it there. Thank you.
Russell Diez-Canseco: Thanks, Ken. I appreciate the questions and I'll start and again if I've missed anything, Bo, please chime in. So, first of all, in the spirit of the question around potentially impacting price, we have not taken kind of a price change in several years. And I think that's very consistent with our focus on top line growth first and foremost and on the notion that we're building a trusted CPG brand as opposed to being a cost plus commodity producer. And so we’re very reluctant to think about taking cost, although that's not necessarily off the table. But our focus in the near term has actually been on potentially reducing the depth of our promotional spend and our promotions at retailers, potentially to reflect the increased commodity prices and the impact that we may see in the pricing of other eggs on the shelf, for example. Our guidance reflects the view that we won't take a substantial price change to reflect commodity pricing, but also reflect the potential that more commodity egg offerings may see price increases. And that pricing compression can help accelerate sales, because it reduces the gap between our pricing and the pricing of lower cost alternatives. In terms of our contracts with farmers, again, we think it's really important for the long-term sustainability of our farmers that they not bear the brunt of changes in commodity and commodity prices. I think we've seen in the industry, I think the last time we saw a big jump in commodity prices back in 2012 that put a lot of pressure on farmers that didn't enjoy the kind of relationship that we have with them, and we never want to have a farmer who's finding this unsustainable financially. They don't have the ability to affect pricing and we do. So we think it's important that we link the ability to affect pricing and the ability to absorb commodity price changes together, and that's on us. Bo, anything that you would add to that?
Bo Meissner: No, I think that you got every piece I would have had also. Thanks.
Ken Zaslow: Thank you, guys.
Russell Diez-Canseco: Thanks a lot, Ken.
Operator: Thank you. Our next question comes from Jacob Nivasch with Credit Suisse. Your line is open.
Jacob Nivasch: Good morning, guys. Thank you very much for the question. I’m on for Rob here. Just a quick one for me. I think you covered most of my questions here, but the capacity expansion plans, is that still on track for I think you guys said first half of '22? Is that still on track there?
Russell Diez-Canseco: Hi, Jacob. Yes, absolutely. So we continue a pace that we love. We love seeing the pictures. We hope someday to have you all out to see the expansion. We're really excited about it. And yes, we're on schedule for an opening in the first half of '22.
Jacob Nivasch: Got it. Okay, that’s it for me. Thank you very much.
Russell Diez-Canseco: Thanks, again.
Bo Meissner: Thank you.
Operator: Thank you. I'm showing no further questions at this time. I'd like to turn it back to Mr. Matt Siler for any closing remarks.
Matt Siler: Just want to say thanks to everyone for their time today. If you have any questions, I'll be around all day. And thank you for your interest in Vital Farms. Have a good day.
Russell Diez-Canseco: Thanks, everyone.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.